Operator: Greetings and welcome to the Sinclair second quarter results conference call. (Operator Instructions). It is now my pleasure to introduce your host, Mr. David Amy, Executive Vice President and Chief Financial Officer for Sinclair. Thank you. Mr. Amy, you may now begin.
David Amy: Thank you and good morning everyone. Participating on the call with me today are David Smith, President and CEO, Steve Marks, Chief Operating Officer of our Television Group, Lucy Rutishauser, Vice President Corporate Finance and Treasurer and Andy Goldman of the law firm WilmerHale, the company's bankruptcy counsel. Before we begin Lucy will make our forward-looking statement disclaimer.
Lucy Rutishauser: Good morning everyone. Certain matters discussed on this call may include forward-looking statement regarding among other things future operating results. Such statements are subject to a number of risks and uncertainties. Actual results in the future could differ materially and adversely from those described in the forward-looking statements as a result of various important factors. Such factors have been set forth in the company's most recent reports on Forms 10-Q, 10-K and 8-K as filed with the SEC and included in our second quarter earnings release. Our earnings release was furnished to the SEC on an 8-K earlier this morning. The company undertakes no obligation to update these forward-looking statements. The company regularly uses its Website as a key source of company information, which can be accessed at www.sbgi.net. In accordance with Reg FD, this call is being made available to the public. A Webcast replay will be available on our Website later today and will remain available until our next quarterly earnings release. Redistribution of this call is prohibited without the express written consent of the company. Included on the call will be a discussion of non-GAAP metrics, specifically broadcast television cash flow, EBITDA, free cash flow and leverage. These metrics are not meant to replace GAAP measurements but are provided as supplemental detail to assist the public in their analysis and valuation of our company. A reconciliation of the non-GAAP metrics to the GAAP measures in our financial statements is provided on our Website under Investor Information, Reports and Filings.
David Amy: Before we get into the operational results we wanted to update you on Cunningham Broadcasting, our LMA partner in six markets and its ability to extend its secured debt maturity. And we also wanted to update you on our discussions with our 3% and 4.78% senior convertible bondholders. As you may have seen we issued a press release late last week regarding Cunningham's $33.5 million term loan facility extension which was to mature on July 31. Cunningham notified us that their secured lenders provided it with an extension until October 30, during which time Cunningham and its secured lenders will work towards resolution on how and what timetable Cunningham may repay or otherwise satisfy the debt. This is temporarily good news for us since an acceleration of the Cunningham debt would have caused a cross default in our own secured credit facility. It also gives us some breathing room to work with our 3% and our 4.78% convertible holders on how to resolve those bonds which the holders can put to us in May 2010 for the 3% and January 2011 for the 4.78%. Since our July 14 investor call a representative group of Sinclair's 3% and 4.78% holders have formed an ad hoc committee. And we, along with our restructuring advisors, have begun discussions with those holders with respect to various restructuring exchange alternatives. Due to the nature of the ongoing discussions we will not be providing further information of potential terms or the process. Now turning to our results, net broadcast revenues for the second quarter were $133 million, down 18.8% or $30.7 million versus second quarter of '08 and was in line with the $132.9 million estimated in our July 10 8-K filing. The decrease the last year was primarily the result of a decline in the core business of $2.9 million, less in political revenues offset by $4.9 million and a higher retransmission revenue. Television operating expenses in the second quarter declined at station production. And station G&A expenses before [barter] were $68.9 million, down 7.5% or $5.5 million from the second quarter last year. The decline was primarily due to lower sales commissions on the lower revenues, lower electric costs as a result of shutting down the analog transmitters, savings from our cost cutting measures offset by higher bad debt expense primarily related to the GM and Chrysler bankruptcies. Our second quarter expense were also better than our estimated expenses provided in the July 10th 8-K due to approximately $1 million in timing of our analog equipment removal, which is being delayed until later in the year. Additional cost cutting across many departments at the station level, including lower promotion expenses, news costs and management bonuses also contributed. Corporate overhead in the quarter was $6 million, 19.6% or $1.5 million lower than second quarter last year primarily due to lower stock-based compensation. The company did not grant restricted shares to its employees this year. In the second quarter we recorded a $1.3 million non-cash gain on asset exchanges. Operating income in the quarter of $25.8 million was 40.4% lower than last year's second results of $43.3 million. Net interest expense for the quarter decreased 18.9% or $4.1 million from second quarter last year, primarily due to a 191 basis point decline in three-month LIBOR and due to prior quarter repurchases of our bonds in the open market with lower-cost revolving debt. Our other operating divisions had approximately $500,000 of operating income as compared to a $700,000 loss in second quarter of '08. Television broadcast cash flow in the quarter was $47.8 million, down $23.3 million or 32.8% from last year's second quarter [VCF]. This is $3.2 million higher than the $44.6 million of [VCF] estimated in our July 10 8-K filing, due primarily to better expense performance related to additional cost cuts and the deferral of analog equipment removal which is being delayed until later in the year. EBITDA was $42.4 million in the quarter, $22.7 million or 34.8% lower than the same period last year. The broadcast cash flow margin on net broadcast revenues was 35.9% and the EBITDA margin on total revenues was 26.8% in the quarter. We had diluted earnings per common share in the second quarter of $0.04 as compared to diluted earnings per common share of $0.13 in the second quarter last year. During the quarter we generated $27.1 million of free cash flow which was $12.2 million less than second quarter last year, primarily due to the lower EBITDA offset by savings in interest expense, capital expenditures and current taxes. So now Lucy will take you through the balance sheet and cash flow highlights.
Lucy Rutishauser: Cash programming payments were $19 million and capital spending was $2.1 million in the second quarter. We had $13.1 million of cash on hand at June and [$1,317.8] billion of debt which includes $64.6 million of non-recourse and variable interest entity debt that we are required to consolidate on our books. At June 30 we had $104.5 million drawn under our revolving line of credit and approximately $64 million available of our $168.6 million commitment. Leverage at the operating company was 3.31 times at quarter end on a covenant requirement of 6.5 times. And if we had a leverage test at the holding company it would be estimated at 6.22 times. Steve Marks will now take you through our operating performance.
Steven Marks: As Dave mentioned, net broadcast revenues were $133 million in the second quarter. This is the first time I can remember where the second quarter, which is typically one of our higher advertising revenue generating quarters, was below first quarter results. Including political, local time sales in the second quarter was down 21% and national was down 31.4%. All categories were down with the exception of very minimal increases in grocery, travel and Internet. The automotive category was down 46% slightly worse than the 40% to 45% range we expected. Automotive represented 14.7% of time sales in the second quarter. The services category, our largest category, at approximately 16.7% of our time sales, was down 11.5%. Other categories that were down significantly were telecommunications, retail, pay programming, home products, fast food and pharmacy. All affiliations on both and including and excluding political basis were down in the second quarter. Political revenues were $670,000 in the second quarter versus $3.6 million in the same period last year. According to the Television Bureau of Advertising survey of 749 stations, time sales in the second quarter, we again outperformed the industry which was down approximately 25.6% versus our time sales performance of down 24.4%. Our stations also held their total market shares on average, with all but three markets reported our total share including political held flat at approximately 19%. Turning to our third quarter outlook, for third quarter we are estimating net broadcast revenues to be approximately $126.6 million or down 15.7%, which has not changed from the estimate provided in our July 10 8-K filing. Included in that outlook is approximately $300,000 of political advertising as compared to $8.7 million in third quarter last year. We expect all affiliation groups as well as the majority of our advertising categories to finish the third quarter down versus the third quarter last year. Only Internet and travel are expected to be up and then only by very minimal amounts. As for some of our larger categories we expect automotive to finish third quarter down by a smaller year-to-year of a decline than what we experienced in the second quarter, assuming the Cash for Clunkers Program is renewed. Service is our largest category, is expected to be down in the low teen percents. For fourth quarter we are currently not seeing any pickup in the business as such. We believe that the $139.7 million of net broadcast revenue as provided in our July 10 8-K filing is aggressive and represents the high end of our range with $135.5 million representative of where we expect the quarter to finish. This would equate to a 15% to 17.6% decline in our broadcast revenues versus fourth quarter last year. On the expense side we are forecasting our TV production and SG&A expenses to be approximately $64.7 million in the third quarter, an 11.1% decrease from third quarter's last year $72.8 million. The $8.1 million decline is due primarily to low sales expense as a result of the low revenue guidance, lower electric costs from not having to transmit an analog signal, cost savings in the news departments, offset by higher bad debt expense. For the year TV operating expenses are estimated to be approximately $265.1 million, down $30 million or 10.2% from 2008's $295.1 million. Based on our guidance including in our range release provided this morning, we are expecting EBITDA of $38.6 million in the third quarter and $160.2 million for the year. This is slightly higher than the July 10 8-K estimates due to the better second quarter expense performance offset by the revised estimated fourth quarter revenue and other operating division income. For other line item guidance please refer to our earnings release provided this morning, and with that I would like to open it up to questions.
Operator: (Operator Instructions). Our first question comes from Bishop Cheen – Wells Fargo Securities.
Bishop Cheen – Wells Fargo Securities: Lucy, it would be very helpful since we're so focused on balance sheet, if you could just walk us through the pieces of the federal bank debt and then how much of the [H] you have left and then the capital leases and the three converts, and then I just need to clarify, when you give out the total debt of one – and I'm rounding here, 1318, does that include the 64 on non-recourse?
Lucy Rutishauser: Hey, let me give you the second part. Yes, that does include the non-recourse and BIE debt, so that's a balance sheet number. And then the pieces, the revolver, $104.5 million, the term limit A, $82.5 million, the term limit A-1, $219.4 million, the 8% notes are $224.7 million and then there is a premium that we amortize which is $1 million. The 4% or $143.5 million, the 3% converts are $294.3 million and then there is a discount of a negative $7.5 million. The 6% are $134.1 million and they also have a discount that we amortize, that's a negative $13.5 million, and then we have the fair market value of terminated [SLFs], that's $2.3 million. The capitalized leases are $67.9 million, and the non-recourse BIE debt of $64.6 million and I think I picked up all the –
Bishop Cheen – Wells Fargo Securities: Yes, you answered everything and you have $64 million did you say available on the $168 million commitment?
Lucy Rutishauser: That's correct.
Operator: Our next question comes from Aaron Watts – Deutsche Bank.
Aaron Watts – Deutsche Bank: A few questions for me, I guess first maybe you can just talk about visibility? I know you've been very generous in giving us your view of the world for the rest of the year, but how much confidence do you have, or are bookings still coming in late, or are things materially better, worse, how do you feel about that?
Steven Marks: Well I think from a spot standpoint we're pretty much seeing a consistent spending level that hasn't demonstrated that it's going to shoot off. I think once the car category, the automotive category, really starts kicking in you'll see a significant jump and that'll hold true for all of our competitors, obviously. That category has got a jump start and right now we're seeing inches of growth not feet or yards. Cash for Clunkers thing was a decent promotion that sent for our company over $1 million and we're expecting more if it's renewed. That will help. As far as other categories are concerned, there's still spending but again that's showing as we speak any instance where we're seeing measurable increases in our budget. So I'm anticipating that we'll go through the remainder of this year pretty much at the same type of activity, with the caveat being it all boils down again to significant growth would come from the automotive category and I don't see today that jumping off the charts.
Aaron Watts – Deutsche Bank: Okay, and if Cash for Clunkers is renewed and extended, is the benefit of that baked into your guidance that you provided?
David Amy: Yes, it is. We do expect it to end. We are pacing better for third quarter on the automotive category as we speak. There is one major component that does shed some light and could be significant and that's the issue advertising, specifically health care issue, which we expect both the Democrats and the Republican committees to be spending quite a bit of money to put their thought process forward on where they stand on the heath care issues and we could see that type of money beginning in September or October. So that's one component that could be explosive for us that is not out there yet but we know it's coming.
Aaron Watts – Deutsche Bank: Okay, and then update or discussions with ABC on your affiliation renewal that I think is coming up at the end of the year?
David Amy: No, not at this point.
Aaron Watts – Deutsche Bank: I guess maybe tied into that, when those discussions do come, as we think about retransmission for the future the fees that you get from that, I mean is it your expectation that the networks are going to start asking for a little bit of that pie?
David Amy: There's a risk that they will.
Aaron Watts – Deutsche Bank: Okay, and last one is more big picture for me, and I've been asking this over a couple of year periods as well, but once the ad environment does rebound, what are you thinking about now or what do you view as a few of the biggest challenges that you'll come up against not having to worry about just demand not being there? But is emerging technologies like streaming, or you know the local news initiative from YouTube or competition from cable networks, prospects for the My Network TV format, like what are some of the things that you consider the biggest challenges you'll face?
David Amy: Well, the challenges I think are very exciting because to our view it means revenue. The technology is very exciting and our focus most recently has been on the mobile end of the technology and I'm not going to get into great detail on what our game plan is on that, but I can tell you that we do believe that there will be a significant revenue stream tied to marketing the mobile devices and we're actively pursuing marketing suggestions that will drive revenue for us. So I believe that will be a significant component in our 2010 game plan, and I do believe the spot will rebound. I think what you've seen is obviously the bottom. We've experienced the bottom and we're slowly beginning to build ourselves up. So as we look forward to 2010 there's one thing that's for certain. It's going to be an enormous political year, and quite frankly we believe that that could tickle off actually in 2009 with health care issues and then we, Sinclair specifically has some very significant races in the markets that we're in in terms of political. So we know that we're going to generate significant political income in 2010. And the spot will rebound to a degree and then on top of that, as you suggest, new technology which we believe is very exciting and will help build additional revenue streams for us, so very optimistic about 2010 as we sit today.
Operator: Our next question comes from Jonathan Levine – Jefferies and Company.
Jonathan Levine – Jefferies & Company : Could you give us a little bit more color in terms of what the monthly trends you had during the quarter as well as what automotive looked like for both local and national?
Steven Marks: Well, specifically on the automotive category which I think drives our pace as quick because of the magnitude of the category, we are seeing a better performance in July and August than we've seen throughout the course of the year so far. It is still being placed month to month and by comparison September as we speak today does not all that great, but we believe it will be picking up based on our success in that category, if you want to call it success for July and August. So business is still being placed at the last minute. We do believe we'll have some activity from the major groups before this quarter is over which will add to our pace. So I think it's fairly encouraging. With each month that goes by we're getting a little bit better. It's, like I said, it's inches, not yards or feet but nonetheless it is getting better and it's getting better month by month.
Jonathan Levine – Jefferies & Company : What about in the any of the other large categories? What type of trends are you seeing there?
David D. Smith: I think we're seeing almost identical type of stuff inching up. Nobody really stepping up to any great degree but there is more activity than what we had experienced previously but again, it's by inches, not by feet or yards.
Jonathan Levine – Jefferies & Company : You just mentioned before about some of the significant races. Can you talk a little bit more in terms of which market specifically you're expecting strong races and I guess in turn strong political revenues?
David D. Smith: I don't have in front of me but our dominance as a company in Ohio and I know there's going to be some significant races in Ohio this year. There's going to be some races in Florida where we're obviously very aggressive and our blueprint for Sinclair just being in the markets that we're in, we've already taken a look at it. Again, don't have the information in front of me, but it's going to be a huge political year for Sinclair markets, very significant races up, gubernatorial, senatorial, the whole host of significant races in big Sinclair markets.
Jonathan Levine – Jefferies & Company : One more question, just kind of changing track. If you could talk a little bit in terms of the cost cutting in terms of what you're still expecting in terms of the magnitude for the remainder of this year?
David D. Smith: Well, we're still looking at opportunities of where we see economies of scale. We haven't finished looking at our operation. We look at it literally on a day to day basis and try to figure out how we could be more efficient. There's not a day that goes by that we're not doing that. I would suggest to you that we continue to take a look at things and we'll see where we go. I think we've done a real good job in taking a look at our expense control in 2009 and it's part of the reason why we can deliver the numbers that we're delivering. It comes from an attitude that each and every day that we come in we take a new look at where we can save a buck. And we're going to be doing that today when we get off of this call. So I can't suggest to you if there are any more cuts coming in terms of personnel but in terms of the way we're operating the business there's not a day that goes by that we're not looking at being more efficient.
Operator: Our next question comes from Ken Silver – Royal Bank of Scotland.
Ken Silver – Royal Bank of Scotland: I hear you talk about market share of your station, can you tell us just an overall viewership for year-over-year. Is it up or down?
David D. Smith: I don't have it in front of me but I think in looking at our individual markets and how we perform in those individual markets. I think we held our own in the May rating book as well as the March rating book which was this year's February. Ratings are really not an issue for us. We are very competitive in the field that we compete against. We've got some very strong stations, our Fox stations of which we're dominant in in terms of our resume, are huge performers in terms of ratings success, and our shares demonstrate that. When we said we were flat this year, everybody should keep in mind we had a huge growth '08 to '07 in shares. So to maintain that share was an exceptional performance on our behalf in second quarter.
David Amy: Let me just add to that for just a second on the industry risks that local people meters that are coming in at the top 25 markets, of which we have three markets are affected by local people meters and you'll see that in our Q and in regards to just describing one of our risk factors, and that affects everyone. That's why I call it an industry risk. It's everyone in the market as being affected the same way that our numbers are typically down in terms of our viewing significantly when the local people meters results come out.
Ken Silver – Royal Bank of Scotland: So the way your stations are really holding their own versus other broadcast stations, do you think the overall viewership pie is flat, up, down?
David D. Smith: I think it's pretty close to consistent. I don't think it's measurably one way or the other.
Operator: Our next question comes from Matt Swope – Broadpoint Capital.
Matt Swope – Broadpoint Capital: Can you go back to Aaron's question about the retransmission dollars? When you guys gave us in the 8-K as a guidance for the $106 million of retrans for 2010, what did you assume about what would happen with the ABC negotiations?
David Amy: I don't think it's really – this is really the time or the place to talk about what we think may or may not happen. We're going to start the discussions with them momentarily so it doesn't necessarily serve our purpose to chat about that in the open marketplace, I don't think.
Matt Swope – Broadpoint Capital: Is it fair enough to assume that you were using the same kind of increases that you used for the other networks as you modeled after 2010?
David Amy: Increases from the standpoint of?
Matt Swope – Broadpoint Capital: Just up year-over-year?
Lucy Rutishauser: One part – when you look at that 8-K we had I think it was $97 million in for this year going to $106 million next year and don't lose sight of the fact that this year we had a lot of contracts that renewed that are in for a partial year this year versus a full year next year because that's where a lot of that growth is coming from.
Matt Swope – Broadpoint Capital: Then you guys have been pretty consistent with the comment that you're not seeing recovery in any kind of advertising-based business until the second half of 2010. Everybody talks about a lack of visibility. What you makes you confident that statement? I mean is there something that could get better here where we could see recovery faster than that?
David Amy: Well, we've taken really a position here that looks at the political side, as David mentioned earlier. And so when it comes to saying prominence it turns – it's hard to say we can be very confident at all in that regard. We've looked at it from where we are in regards to pace currently. We tried to carry that out. When would we see a recovery and how would that affect us. And most everyone is expecting it as a stronger second half of '09 than what we're seeing. '09, that the second half has been much softer than I think anybody here expected to see. So it just seems rational to consider that it's going to take a bit longer for the recovery to really come in and affect in a positive way as we go into '10. So that's our basis for our estimates and I think it's universally true right now that visibility is quite difficult. As we mentioned earlier in the discussion that our own estimates of fourth quarter 30 days later from July 10 when we talked about fourth quarter and provided fourth quarter guidance. Here it is 30 days basically and we're already revising what we think fourth quarter looks like. And that may change again. Thirty days from now we may have a completely different view on fourth quarter. So it's very dynamic. It's changing week to week and that's what we're basing our estimates upon.
Matt Swope – Broadpoint Capital: And just one, you guys mentioned in the press release that you spent $2.2 million in the quote-unquote "various ventures" during the second quarter. Can you give us guidance on what you think the dollars will be for the rest of the year for those kinds of investments?
David Amy: Well, we're committed to $2 million more through the Bay Creek Resort that we have in southern Virginia eastern shore. We have a payment at the end of September and another one at the end of December of $1 million each. We're acquiring 75% ownership position in that particular resort and that's the payment schedule for those. So beyond that there's a little bit here and there but nothing that at this point that's of any real great magnitude.
Operator: Our next question comes from Edward Atorino – The Benchmark Company.
Edward Atorino – The Benchmark Company: It was sort of answered. I was going to ask about what you're seeing in terms of your various categories but I understand it's just a very tough environment and it's probably not a question you can answer with any sort of specifics so I'll just pass.
Operator: Our next question comes from Marci Ryvicker – Wells Fargo Securities.
Marci Ryvicker – Wells Fargo Securities: I have two questions. Steve, you mentioned that political will be significant in 2010 so do you think 2010 will look more like 2008 where you booked $41 million in political or more like 2006 where you booked $32 million?
Steven Marks: I think it's probably closer to 2006 as we speak today.
Marci Ryvicker – Wells Fargo Securities: And just a general question, with this year's upfront negotiations going on now and talk of CTM being down and inventory being down, what do you think this means regarding the value of television advertising in general?
Steven Marks: I think the markets will pick themselves back up and a lot of the things that you see, it's obviously a supply and demand game. And when I walk into individual markets, it's not unusual to walk into markets now and the inventory is sold out. So you sell to the pace of the market. You sell your spots, you raise your rates. And eventually, as I said, the business will turn around. We have hit bottom. The game plan has not changed. It's to sell every single spot every single day 24 hours a day. We just need obviously more people to find to sell them to and we're out there actively trying to do that. So the business is still a terrific business. People still are watching television. There's nothing wrong with our product. So once the economy starts to turn around, people will do what they're already doing and that is watching TV in droves. So there is absolutely nothing wrong with our product. Once the economy turns around, people will be back into it and they'll be back into it in a big way.
Marci Ryvicker – Wells Fargo Securities: I have one follow-up. Any progress on the Open Mobile Video Coalition you could share with us?
David D. Smith: Nothing other than what we've kind of talked about in the recent past which is they are moving ahead to get the standard formalized. There was a show-and-tell a few days ago in Washington D.C. for members of Congress and the Washingtonian crowd demonstrate the capability and the real success of the platform. I'm not sure right now when there will be a roll-out of hardware, but it's coming fairly fast. It's just going to take a little bit more time for people to work through those details and figure out where and when and under what circumstances it will launch. But my sense is it's coming. I mean it's too important a service to be kept in the closet. The notion that you can watch over-the-air television on any kind of portable device that's out there, we think is of such credible importance to things like national security, weather instances in areas like Oklahoma where you have tornados and hurricanes in Florida and Texas and things of that nature. Just the idea of a local television station being able to reach millions of people on an instantaneous basis via cell phone as opposed to having to attempt to reach those people in a traditional way which is on a large screen television in your house is so advantageous to the public at large and to the broadcaster at large that we just think that it's something that has to happen.
Operator: Our next question comes from Ken Silver – Royal Bank of Scotland.
Ken Silver – Royal Bank of Scotland: Just a quick follow-up, do you have any significant programming contracts up for renewal either this year or next year?
Lucy Rutishauser: Ken, I believe in the 8-K we put out we talked about our 2010 film payments estimate of about $90 million for next year.
Ken Silver – Royal Bank of Scotland: And is 2011 at this point sort of expected to be similar?
Lucy Rutishauser: We're just not putting out numbers that far.
Operator: Our next question comes from Stacey Finerman – Goldman Sachs.
Stacey Finerman – Goldman Sachs: It seems to me from your comments regarding auto advertising getting a little bit better and just the political climate in 2010 and your comments about things having bottomed out, that perhaps the advertising environment's going to get better before the second half of 2010. Can you just go into a little more clarity about that?
David D. Smith: I'm not really sure if it will get that much better. My comment is it has been we're seeing inches, not feet or yards and I think that's going to be consistent. What I did make mention of, I think this healthcare issue has the potential to pour in quite a bit of money as issue advertising. We haven't necessarily gotten that cash yet but we believe that it's inevitable. So if there's one thing that will pop, I believe it's issue advertising between now and the end of this year. I think all the traditional broadcast categories are coming off the ground and they're slowly inching up. So aside from the issue advertising stuff, I expect the traditional dollars to be slow coming in through the remainder of the year.
Stacey Finerman – Goldman Sachs: But wouldn't that suggest that advertising is going to turn around before the second half of 2010?
David D. Smith: I think it's already turning around slowly but not for the remainder of this year dramatically.
Operator: Our next question comes from [Mark Black] – Tricadia.
[Mark Black] – Tricadia: Just a couple of things I just want to go back to what was answered earlier about kind of future stuff. Could you just talk a little about what you've done in terms of your selling process and sort of integrating sort of the advertising product with either on online offerings and just how maybe sales cycles have changed recently, whether it be with orders coming in later in the quarter or later in the month and how that's impacting your visibility? And then I just have a couple follow-ups on that.
David D. Smith: Well, I think in terms of, I think we're onto the trend now because this placing business at the last minute has been going on now for 12 months and it took us a handful of months to figure it out. But it's clear that everything continues to be placed at the very last second right now. What was your first part of your question?
[Mark Black] – Tricadia: In terms of integrating, as you think about what the television advertising product looks like going forward, I think there was another caller that had asked about, that sort of the value of product and kind of packaging it with either local online content, etc. How is this going to be sort of positioning itself around?
David D. Smith: I think the entire industry to some degree with obviously selling webs have been well into new technology for a while. The next step is obviously going to be the mobile application, and as Dave mentioned as I briefly mentioned earlier, it's coming. There's things that you could do with the mobile phone right now and we are. And I think it becomes a educational process to our sellers on how to package what we call three screens which would obviously be the television set, the Websites, and mobile. And we have a game plan that addresses selling all three screens and it's more of an education process to our sellers in learning the application so they can go out and pitch it successfully. So I don't view our situation as any different than any of our competitors. We're all trying to figure out how that revenue stream needs to be driven. The good news is that there's new technology out there. I do believe the mobile will be significant and we are actively trying to figure out how to market that in conjunction with our three screen approach.
[Mark Black] – Tricadia: And then just on the cost side, can you just talk a little bit about how much –how your cost structure has evolved over the last few years in terms of how much are the fixed costs you've been able to remove because if I go back and kind of like your run rate revenue from your expected '09 revenue versus your, let's say, 2005 revenue and then I think about how much retrans has increased since then, I see sort of a fairly dramatic margin differential ex the retrans. So I just wanted to understand how much – what you've been able to do from a fixed cost perspective, either at the station level or at the corporate level over that timeframe and kind of how you expect the cost structure to evolve in this sort of new environment?
David Amy: Well, it really is a fixed cost business. Most of the variable costs that you can identify come into two categories and that would be your sales commissions and bonuses that are driven by the sales line and then second to that would be promotion expenses that you can come in and come out with in a different promotion spending patterns that you can control. Those are a little less variable in the fact that you need to promote your stations. You can't just look at it as a plus or a minus, well, you can with the sales commission line and that variability, but beyond that you start looking at it from an overall fixed cost structure starting at that point as you well recognize however we set up, where are the efficiencies, where are the inefficiencies? Where can we create kind of regional type hubs, if you will, that we can consolidate a lot of the effort that goes on that's being duplicated from one station to another. And from there that's the technologies that are being provided to us in regards to – and just the software, the servers, the traffic systems, etc., those are the advances that are being made and that we're able to leverage off of those and to improve our processes and penetrate our markets.
[Mark Black] – Tricadia: Has there been a fixed dollar amount of the sort of fixed costs you tried to remove from the business? Are you in the process of doing that? Is there anything you can provide in terms of the guidance as to where – what you think whether what you've accomplished and how far along you are and what we should expect going forward?
David Amy: As we mentioned earlier, Steve, I think was clear in stating we continue to work on those areas. As far as being able to give you anything more granular or specific than that, that would be premature, but there are opportunities that we are looking at. We're in the process now of getting through all those areas and I think that we'll come away with some fairly decent savings here over the next couple of years.
Operator: (Operator Instructions). Our next question comes from Andrew Finkelstein – Barclays Capital.
Andrew Finkelstein – Barclays Capital: Two questions, first, if you could talk about what the competitive local media dynamics are in some of your markets? Has the recession changed that either to your benefit or maybe the real top priority there for radio or local cable, outsource, etc. I mean, everyone obviously has lower prices and if you think there's going to be a change going forward in terms of TV's position in the market? And then my second question is on the LMA payments and arrangements with Cunningham. Has there been any progress made or can you tell us any more about potentially any changes to that agreement? Thanks.
Andrew M. Goldman: It's Andy Goldman, the company's counsel. Let me just step in on your second question. I think we're going to refrain from commenting on the second question for the time being. I think we mentioned in a previous call there were some discussion ongoing, but I think beyond that we'll simply hold in abeyance that question. And then I would simply turn it back to the company to deal with your first question.
David D. Smith: I think in terms of competitive spending in the local marketplace, to be quite frank, we're spending all the time worrying about ourselves than what we're seeing in the newspaper or radio business. I think it's clear that the newspaper business is in deep, deep trouble and we're seeing instances – it's been all over national news of significant periodicals that have closed up and certainly the newspaper business is in far more peril than the television business. And I think radio would come right behind newspapers so although we're not spending a lot of time concentrating on that because we're out trying to sell what we have to sell, it's evident that competing media is far worse off than television at this change. And will that be a benefit down the road? It has to be because the fact of the matter is that some newspapers are just shutting down. They're not there anymore and radio stations are consolidating and obviously have a lot of trouble with cable radio, satellite radio at this particular point. So it clearly bodes well for us going forward when the economy turns.
David Amy: I think the other thing to be thoughtful about is when you look at the direct mail space as a category as a competitor to broadcast or a competitor to everybody for that matter, I think they're at risk by virtue of new technologies that are coming to the marketplace that are going to allow companies like us or any broadcaster for that matter to advantage themselves of the technology and compete directly against them in a way that has nothing to do with selling spot television. So I think they're – when the industries evolve out of this correction that we're in right now, or a recession, however you want to characterize it, there's going to be a lot of folks that are gone. There's an awful lot of businesses out there that need to advertise and will be advertising going forward and I think we're in the long term as an industry going to be positioned in a much more favorable way with regard to competing against those that remain. And I'm kind of cautiously optimistic about some of the technologies that are out there that just allow us to go head-to-head against direct mail electronically. Again, in a way that has nothing to do with us selling spots in newscasts or football or anything else. So I think we just need to get out of this flat line approach, or roughly flat line position that we're in as an industry and get some positive momentum going. And I think you'll – if we can do it, if we can execute on it and get a clear understanding of all the idiosyncrasies of all the technologies that are out there then I think we'll always be left standing at the end of the day because we're all about the content and we're all about delivering that content to as many devices as we possibly can. So I don't see anybody out there, at least I don't hear of anybody saying television isn't going to be watched. It's just frankly not true in spite of what YouTube or other folks might say, the fact of the matter is that this – when we look at our 10:00 news as an example, it still dominates the marketplace. All of our news is dominating the marketplaces where we're in. Television dominates the marketplaces that we're in. So I don't put a whole lot of stock in the background noise about people going to the Internet to watch news on a local basis in any grand way that's going to have an effect on us because frankly we can do exactly what they're doing in a much more professional, legitimate way if we decide to and we think there's a business model there, we'll do exactly the same thing.
Operator: There are no further questions at this time. I'd like to hand the floor back over to management for any closing comments.
David Amy: Thank you everyone. We appreciate your participating in the call and if you have any questions feel free to give us a ring. Talk to you next time.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you all for your participation.